Operator: Greetings. Welcome to the Great Elm Capital Corp. Third Quarter 2023 Financial Results. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Garrett Edson, a representative of the company. You may begin.
Garrett Edson: Good morning, and thank you, everyone, for joining us for Great Elm Capital Corp.'s Third Quarter 2023 Earnings Conference Call. If you like to be added to our distribution list, you can e-mail investorrelations@greatelmcap.com or you can sign up for alerts directly on our website, www.greatelmcc.com. I'd like to note the slide presentation posted on our website accompanying today's call. The slide presentation can be found on our website under Financial Information, Quarterly Results. On our website, you can also find our earnings release and SEC filings. I'd like to call your attention to the customary safe harbor statement regarding forward-looking information. Also, please note that nothing in today's call constitutes an offer to sell or a solicitation of offers to purchase our securities. Today's conference call includes forward-looking statements, and we ask that you refer to Great Elm Capital Corp.'s filings with the SEC for important factors that could cause actual results to differ materially from these statements. Great Elm Capital Corp not undertake to update its forward-looking statements unless required by law. To obtain copies of SEC filings, please visit Great Elm Capital Corp's website under Financial Information SEC filings which is at the SEC's website. Hosting the call this morning is Matt Kaplan, Great Elm Capital Corp's Chief Executive Officer, who will be joined by Chief Financial Officer, Keri Davis, Chief Compliance Officer, Adam Kleinman; and Mike Keller, President of Great Elm Specialty Finance. I will now turn the call over to GECC's CEO, Matt Kaplan.
Matt Kaplan: Thank you, Garrett. Good morning, and thank you for joining us today. Our momentum throughout the year continued, and I'm pleased to report yet another strong quarter for Great Elm, generating an ROE of nearly 8.5% in the quarter, bringing our year-to-date ROE to approximately 25%. We continue to successfully deliver across all facets of our business. We saw portfolio growth, continued cash income generation, capital structure improvements and implemented operational enhancements. I remain proud of our team's consistent execution and incredible effort to position us to further grow our platform and portfolio in the quarters and years to come. Turning to Slide 6. You can see we would have reported NII of $0.45 per share if we excluded the net impact of certain refinancing items in the quarter, showing continued sequential growth from our second quarter 2023 NII. However, the impact of the refinancing transaction in the quarter led us to report third quarter NII of $3.1 million or $0.40 per share, again, exceeding our quarterly distribution of $0.35 per share. I especially want to highlight Slide 7, which shows our cash NII. Even with the double interest expense associated with the refinancing, we continue to generate enough cash NII from our portfolio to cover our distribution driven by another consecutive quarter of record cash income generated from our investment portfolio. The cash income we generated in the third quarter represented approximately 88% of total investment income. We continue to make great strides in enhancing our portfolio to generate increased cash income. We also successfully harvested lower-yielding investments and used the proceeds to continue enhancing our mix of first lien secured debt, with 90% of our deployments in the quarter going into first lien investments, all while further improving overall corporate portfolio yield. These results are a further testament to our ability to build a new and high-quality portfolio built with attractive cash yielding investments. In addition to another quarter of excellent NII performance, our net asset value increased by 5.5% in the quarter to $12.88 per share, driven by gains on investments, as you can see on Slide 9. Our investment portfolio gains were broad-based with over 75% of the portfolio pricing stable or up quarter-over-quarter with most of our investments that saw fair value declines being limited to mix and neck that we expect will largely recover over the coming quarters. We remain focused on further recovering and improving our NAV moving forward. Along with our strong results, we successfully completed the refinancing of our 2024 debt maturity with the issuance of new notes due in 2028. While accomplished at a higher cost of capital given the current rate environment, we were pleased to extend our maturity wall and do not expect a material drag on NII from the higher interest expense in the fourth quarter. We continue to evaluate the capital markets and potential financing transactions to opportunistically extend our maturities at an attractive cost of capital and further position us for both near- and long-term success. In addition, as Mike will discuss in his remarks, we also capitalized Great Elm specialty finance with our core specialty finance assets in the quarter and welcomed in a strategic investor to assist GESF in growing and scaling the platform. With outside capital and increased operational flexibility, I believe GESF can become a significant engine of growth for GECC over the next 3 to 5 years as it further scales. With that, I'd like to hand the call over to Keri Davis to discuss our third quarter 2023 performance.
Keri Davis: Thanks, Matt. I'll go over our financial highlights now, but we invite all of you to review our press release, accompanying presentation and SEC filings for greater detail. During the third quarter, GECC generated NII of $3.1 million as compared to $3.4 million in the second quarter of 2023 as well as nearly tripling our NII year-over-year from $1.1 million in the prior year quarter. Third quarter NII includes $0.3 million of net expenses related to the redemption of the 6.5% GECCN notes due 2024 in connection with our issuance of the 8.75% GECCZ notes due 2028. Our net assets as of September 30, 2023, rose to $98 million as compared to $93 million at June 30. Our NAV per share improved to $12.88 as of September 30, 2023, versus $12.21 as of June 30. Details for the quarter-over-quarter change in NAV can be found on Slide 9 of the investor presentation. NII per share was $0.40, once again exceeding our quarterly dividend and compared to $0.44 in the prior quarter. Excluding the net expenses related to debt refinancing would result in NII per share for the third quarter of $0.45. As of September 30, 2023, GECC's net asset coverage ratio was approximately 168.4% compared to 161.5% as of June 30. As of September 30, our total debt outstanding was approximately $143 million. During the quarter, we issued $40 million of GECCZ notes and redeemed $43 million of the 6.5% notes due 2024, successfully extending our maturity wall. As of September 30, 2023, our cash and money market securities totaled approximately $3 million, and we had $25 million available on our undrawn line of credit. Our Board of Directors has authorized a $0.35 per share cash distribution for the quarter ending December 31, 2023. The fourth quarter cash distribution will be payable on December 29, 2023, to stockholders of record as of December 15, 2023. We annualized, the distribution equates to an 11% dividend yield on our September 30, 2023 NAV of $12.88 per share. I'll turn the call back over to Matt.
Matt Kaplan: Thanks, Keri. In the third quarter, we continued to rotate into higher-yielding investments, taking advantage of the continued elevated rate environment to deploy approximately $33 million into new investments at average yields of approximately 11.4%. Meanwhile, we opportunistically monetized $37 million of assets in the quarter at average yields of approximately 11%. We continue to maintain significant exposure to floating rate investments with 63% of our debt investment portfolio at quarter end comprised of floating rate debt, well above 48% from a year ago. Most notably, along with our portfolio's high yield profile, which stood at 13.4% at quarter end, as noted before, 90% of our capital deployed in the quarter was into first lien investments, thus further improving the overall credit quality of our portfolio. We are very pleased with the composition and return profile of our current portfolio. Looking ahead, in the fourth quarter, we will continue to focus on investments that benefit from the elevated rate environment while continuing to monitor closely to uncertain macro landscape. We will remain disciplined with respect to deploying capital towards opportunities that have limited risk of permanent capital impairment and durable returns. By saying measured, we remain well positioned to further grow Great Elm Capital Corp. and generate attractive risk-adjusted returns for shareholders. We are very pleased with our performance thus far in 2023, enhancing both our overall yield and the quality of our portfolio composition and ultimately leading to improving NAV and NII that has consistently exceeded our quarterly distribution. As we close out the year and think about what we have accomplished over the last 18 months, we have stabilized our business, built a stronger, high-quality portfolio and set our platform up with the appropriate infrastructure to accelerate our growth further in 2024. As Keri noted, our NII this quarter essentially tripled from the same period last year. We believe that all of the changes implemented at GECC since I took over as CEO in March 2022, leave us well positioned for further growth. We are excited for the future of GECC. And with that, I would like to turn the call over to Mike Keller to provide an update on Specialty Finance.
Mike Keller: Thanks, Matt. I would like to start off with the transformative transaction that provides a launch pad for our vision of Great Elm Specialty Finance. In the quarter, GECC contributed all its core specialty finance assets to Great Elm Specialty Finance, and we welcome a strategic investor that provided new capital to grow and scale our specialty finance platform, offering a one-stop shop for borrowers across the continuum of lending. Today, as an independent operating company, GESF can market its platform companies, Prestige, Sterling, Healthcare Finance and our new initiative, Great Elm Lender Finance under one umbrella to small- and medium-sized businesses for a bespoke capital solution. By bringing all the core specialty finance assets under Great Elm Specialty Finance, our platform's operations are being streamlined under one cohesive operating company. Now that we have the core pieces and capital in place, we can focus on growing our verticals and generating synergies across the platform. The pullback of traditional bank lending to small and medium-sized businesses could not be occurring at a better time for the GESF platform companies to reenergize their growth initiatives. We continue to see positive momentum within each of our verticals. First, I'll touch on Prestige, which generated net income growth year-over-year and is tracking ahead of budget. Although the third quarter saw some seasonal weakness in invoice financing volume, going into the fourth quarter, we are seeing volumes pick up again and expect them to end the year strongly. At Great Elm Healthcare Finance, we continue to see robust deal flow and our team continues to execute on its plan. This platform has benefited from the industry-wide pullback in health care lending, particularly in the skilled nursing and long-term care sectors. We expect Great Elm Healthcare Finance to continue to take advantage of market dislocation into the fourth quarter as well as into 2024. As mentioned last quarter, we continue to build out Sterling Commercial Credit and its asset-based servicing capabilities. In addition to providing asset-based revolving loans to lower middle market companies, Sterling provides loan monitoring and back-office servicing capabilities to Great Elm Healthcare finance. We believe that Sterling's loan monitoring capabilities can be used across multiple specialty finance verticals. Turning to our latest business initiative. I wanted to update you on Great Elm Lender Finance. This has been seeded with 3 participations contributed in the aforementioned specialty finance transaction this quarter, and we are working with various bank and non-bank capital providers to further grow and scale this business line. We believe that Great Elm Lender finance provides us with the ability to take advantage of opportunistic asset-backed transactions. In summary, now under GESF, I am confident that our specialty finance companies are properly positioned to execute on our growth initiatives as we seek to generate increasing and sustainable income over the coming years.
Matt Kaplan: Thanks, Mike. To sum it up, it was another excellent quarter for GECC and given our current portfolio composition and overall strategy, we believe we remain well positioned to cover our quarterly distribution for the fourth quarter and beyond. With that, I'll turn the call over to the operator for questions. Operator?
Operator:
Matt Kaplan: Thank you again for joining us today. We are pleased with our strong momentum and incredible progress over the past 18 months. We look forward to continued investor dialogue. Please let us know if we can help with any follow-up questions that you may have.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.